Operator: Good day and thank you for standing by. Welcome to the Stride, Inc. First Quarter Fiscal 2022 Earnings Call. [Operator Instructions] I would now like to hand the conference over to Mr. Tim Casey.
Tim Casey: Thank you and good afternoon. Welcome to Stride’s first quarter earnings call for fiscal year 2022. With me on today’s call are James Rhyu, Chief Executive Officer and Tim Medina, Chief Financial Officer. As a reminder, today’s conference call and webcast are accompanied by a slide presentation that can be found in the Stride Investor Relations website. Please be advised that the discussion of our financial results may include certain non-GAAP financial measures. A reconciliation of these measures is provided in the earnings release issued this afternoon and can also be found in the Investors section of our website. In addition to historical information, today’s call may also involve forward-looking statements. The company’s actual results could differ materially from any forward-looking statements due to several important factors as described in the company’s latest SEC filings. The company assumes no obligation to update any forward-looking statements made during this call. Following our prepared remarks, we will answer any questions you may have. I will now turn the call over to James. James?
James Rhyu: Thanks, Tim. Each summer, as we prepare for the upcoming school year, we face operational and logistical demand to support the needs of millions of potential customers and thousands of teachers and support staff. These past two summers have proven even more challenging as a result of the ongoing global pandemic. Our country has been facing disruptions in the supply chain, shortages of workers across industries, uncertainty in the workplace and renewed fears of inflation, among many other difficulties. In spite of this, I have great faith in our country, our ability to persevere and create opportunities through adversities. We are resilient, adaptive, innovative, compassionate, opinionated, proud, and sometimes disagree, but we are always united. And as we navigate these recent challenges, we are evolving. We are being forced to rethink certain norms and one of those has been our approach to education. I hope we now realize that there is no one-size-fits-all solution to education, to training or to workforce development. Certainly, some of the traditional methods work for many, but we need to ensure we are providing choices for everybody, choices about how and where we learn, how employers recruit, how we educate and train the workforce and how we deliver opportunities for those seeking new paths. Over 20 years ago, Stride was founded on the premise that students and families should have a choice in their education. The pandemic has made this mission more critical than ever before. We remain committed to ensuring that we are providing a best-in-class experience across the range of customers we serve from early elementary to adult workforce solutions. And we want to make sure that these educational options are available to as many learners as possible. The increasing demand for educational and training options continues to fuel our business. The pandemic and the resulting disruption across schools and districts, has led to a surge of support for school choice. Total support for school choice has increased to almost 75% of the population. The pandemic raised awareness for parents about their students’ education and many recognize that they are not getting what they need from their existing school. And that surge in interest spans private schools, voucher programs, virtual schools and other similar programs. And specifically, interest in virtual education has seen dramatic increases. In large part, this was because so many were forced into it during the pandemic. And while the experience was not always positive, it absolutely opened the eyes of many to the benefits of a virtual model. And for us, this has translated into what we believe is a structural long-term increase in the demand for our products and services. In fact, peak website traffic this year surpassed the traffic we saw last year at the height of the pandemic. We are seeing well over 1 million unique visitors to our websites each month and growing. And they are more educated consumer. Conversion rates for those who apply to our program are at a multiyear high. We attribute this in large part to the increase in awareness. Families that apply to our program know what they were looking for and so they convert at higher rates. This is an important trend for us over the longer term. And as families become more comfortable with virtual education and Stride’s experience, it opens up other opportunities for us to offer other institutional and consumer offerings. And while conversion rates have improved, so have conversion times. Families both know what they want and we are also making it easier for them to enroll. Our focus on the consumer experience and customer journey is just beginning. And if these early trends are any indication of what we can expect, we are going to deliver some really exciting customer experience improvements in the coming months and years ahead. Our roadmap of new products and customer improvements is more robust than it has been in the over 8 years than I have been with the company, be on the lookout for some exciting new product announcements during the upcoming year. However, this demand hasn’t come without some additional challenges. As many of you have likely experienced, there are labor shortages in many industries and education is not immune. Teacher shortages have been a real threat to the U.S. education system for many years and the pandemic has only exacerbated this risk. We are thankful for the thousands of wonderful teachers we manage, but these shortages have limited our ability to enroll new students in some states. Given the dissatisfaction many teachers experienced in traditional schools and the high satisfaction rates we see from teachers that we manage, we hope that they consider us as an option. Particularly with vaccination requirements, accessibility and age restrictions, some teachers just don’t feel comfortable in their current environment. And so over time, we will be looking to ship more and more teachers to online programs where they have greater flexibility, impact and reach than they have in their current roles. Another trend that we see accelerating is the focus on career training and workforce development. We desperately need skilled workers and many high school students are realizing that their future success does not need to be tied to a 4-year college degree. This fall, our Stride career programs for middle and high school students enrolled 42,000 students, a 36% increase from last year. It’s also 3x the level we were at just 2 years ago. And our surveys for career learning demand are even more positive than overall virtual education. Even as interest in virtual options increased, career learning interest continues to outpace it by multiples in the middle and high school space. We think that this interest, coupled with the opening of new programs and new states, can sustain strong growth in this business over the long-term. I think the investment community was rightfully skeptical of our ability to grow after last year’s pandemic boom. And make no mistake we continue to see a positive impact on our business from the ongoing pandemic uncertainty. But we also believe that there is an ongoing structural shift in education and we are the digital leader in the space and we believe that positions us to thrive over the long-term across a broad spectrum of product and service offerings. For this year, that means we expect to grow both our top and bottom lines and we believe we are on pace or better for the long-term goals we set out for ourselves just last November. Tim will provide more details on this in just a minute. I also wanted to highlight one of our new product offerings for this school year. As many of you know, younger students were disproportionately impacted by the pandemic. Younger students were less likely to attend school consistently and were more likely to suffer from significant learning loss. Additionally, supporting younger students during at-home learning can be a challenge for families. We recognize the particular difficulties of this age group even prior to the pandemic and have been working on an entirely new design for our K-5 course catalog. Our new programs are built specifically to support more independent learning and allow parents and families to play a more supporting role in a child’s education. We believe these new courses will allow for deeper engagement and better academic outcomes. And lastly, while COVID was rightfully receiving much of the attention over the last year, there have been other catastrophic disruptions. For example, in September, Hurricane Ida hit the Gulf Coast and a significant number of students were displaced from their homes and schools. Our team quickly mobilized to offer a free private virtual program for these students that is now serving hundreds of families, proud of the team for this effort. It’s doing what I call absolute right and is a core principle for Stride. Thank you for your time today. Now I will pass the call over to Tim Medina to discuss our quarterly results and fiscal ‘22 guidance. Tim?
Tim Medina: Thank you, James and good afternoon everyone. First, let me quickly recap our reported results. Revenue for the quarter was $400.2 million, an increase of almost 8% over the same period last year. Adjusted operating income was $4.5 million, down significantly compared to the prior year, which I will discuss in a few minutes. And capital expenditures were $15.4 million, an increase of $2.6 million over last year. Driven by strong demand in career learning and the recovery in revenue per K-12 enrollment, we expect to grow revenue and profitability this year compared to prior year. Our first quarter results and this guidance for the rest of the year demonstrates the confidence we have about our ability to sustainably address the underlying demand for high-quality online educational options. We believe this sets Stride up for continued long-term growth and expanding margins across our lines of revenue. Q1 revenue from our General Education business decreased $7.5 million to $306.3 million. This was due primarily to the expected decline in enrollments partially offset by an increase in revenue per enrollment. General Ed enrollments decreased to 147,600 from 164,600 last year during the height of COVID. As James discussed, we continue to see strong demand for our offerings. And we expect that over the coming years, this business will grow off this new baseline. Revenue per enrollment in General Education increased 9.7% in Q1 compared to the same quarter last year. We are seeing favorable funding impacts in many states offset by some mix shift to lower funded states. For the full year, we expect to see revenue per enrollment in line with or even better than our fiscal 2020 results. Career Learning revenue grew to $93.9 million, an increase of 64.4%. This was driven by continued strong growth in our Stride career prep enrollments and growth across our Adult Learning business. Within our Career Learning business, our middle and high school Career Learning revenue was $71.4 million, up 46.4% from last year. This was driven by a 36.4% increase in enrollments and an 8% increase in revenue per enrollment. Like our General Education K-12 business, we expect revenue per enrollment in Stride career prep programs to improve significantly over last year. Our Adult Learning business had another strong quarter, finishing with revenue of $22.5 million. This puts us on a great trajectory for the full year and we expect Adult Learning to contribute almost $100 million in revenue during fiscal year 2022. Gross margins for the quarter were 31.6%, down 340 basis points compared to the same period last year. We returned to a more normal seasonal pattern in our materials and computer expenses this year. Last year, we had a slower ramp in shipments to students, which pushed first quarter gross margins up. Therefore, we expect our second quarter comparison to be more favorable as spending this year is more in line with the normal seasonality we saw in years prior to last year. We continue to feel confident in our ability to achieve the 2025 gross margin targets we laid out last November and faster than we originally anticipated. Selling, general and administrative expenses for the quarter were $133.4 million, up $15.6 million from the first quarter of fiscal 2021. The increase in SG&A is primarily driven by higher cost associated with enrollment and onboarding and the annualization of expenses from our acquisitions. Stock-based comp was $8.3 million for the quarter. We anticipate that we will finish the year with stock-based compensation in the range of $29 million to $31 million. Adjusted operating income for the quarter was $4.5 million. Adjusted EBITDA was $25.5 million. Both these metrics were impacted by the seasonality of costs that I outlined above. The timing of our costs and income in fiscal year 2021 had timing anomalies that we explained during our quarterly calls last year. This year, we expect our seasonality of expenses will be more similar to the years prior to FY ‘21. And as you can see in our guidance, we think the second quarter will be very strong from a profitability standpoint. Interest expense for the quarter was $2 million. As we mentioned last quarter, we have adopted new accounting guidance that eliminates the non-cash interest expense related to the amortization of the debt discount from our convertible note. This results in lower interest expense. It also means that we have increased the long-term debt recorded on our balance sheet even though we have not taken on any additional debt. For the year, we expect our quarterly interest expense to be fairly consistent with the first quarter. Our effective tax rate came in at 33%. For FY ‘22, we believe we will finish the year with a tax rate in the 28% to 30% range, mostly due to an increase in nondeductible compensation above FY ‘21. Capital expenditures in the quarter totaled $15.4 million, up $2.6 million from the prior period last year. This increase was expected as we invest in more mainstream consumer-facing products expected to contribute to future financial performance as well as ongoing investments in our high-growth career and Adult Learning businesses. Free cash flow in the first quarter, defined as cash from operations less CapEx, was negative $146.9 million as compared to the prior year’s $127.3 million. This normal seasonality of cash flows relates to school launch and the enrollment and onboarding of new students. We expect to see positive cash flow for the next three quarters. For fiscal year 2022, we expect to have significantly higher cash flow from operations than in fiscal year 2021. We ended the quarter with cash and cash equivalents of $218.5 million. Turning to our guidance. For the second quarter of fiscal year 2022, the company is forecasting revenue in the range of $390 million to $400 million; adjusted operating income between $55 million and $60 million; and capital expenditures between $14 million and $17 million. For the full year, we are forecasting revenue in the range of $1.56 billion to $1.60 billion; adjusted operating income between $165 million and $180 million; capital expenditures between $65 million and $75 million; and lastly, an effective tax rate between 28% and 30%. Before I wrap up, I want to be sure to thank our employees for their dedication to the academic and career goals of so many students and learners. Without the collective effort of thousands of Stride employees, we could not have achieved the strong results we saw this quarter and that we expect to see for the full year. Thank you all. And with that, I’ll turn it over to the operator. Operator?
Operator: [Operator Instructions] First question comes from the line of Jeff Silber of BMO Capital.
Jeff Silber: Thank you so much and congrats to the strong start of the year. I wanted to dig into your General Education enrollment trends. Obviously, the numbers were better than people thought. Is it possible to kind of parse through the difference between last year and this year in terms of the students that you retained versus new students that started this fall?
James Rhyu: Hey, Jeff, it’s James. So yes, I mean, obviously, as you know, we don’t break that out, actually. What I will say is that we have continued to see strong renewing interest in our programs. And I think it’s just sort of logical, like in order for us to, I think, hit the kind of numbers we’re hitting, we have to have had both, a lot of returning families and then ongoing interest from new families. But like I said, we don’t – as you know, we don’t break that out specifically. But I just – I think that the comments we’re making around us seeing sort of a structural shift and sort of the tide rising, if you will, on demand is – it’s real. And I think in addition to that, as I mentioned, we have more demand than we could actually have dealt with because we actually have to cut enrollment short in some states because of the teacher shortages. So we just don’t see the demand abating as I think most people predicted.
Jeff Silber: Alright. That’s great to hear. And maybe we can drill down into the structural changes in demand. Are you seeing it all across the board? Are there certain grade levels or geographies that are stronger than others?
James Rhyu: Yes. I think generically speaking we are seeing it fairly across the board. We do see a slight bias towards some of the younger grades. That’s actually good for us, as you know, because it gives us a lot longer potential lifetime value with those students that lets us often get more than one bite at the apple with those students because some of them do leave and come back. So we see a slight bias there. We did see some slight bias in states that had some higher COVID cases. I think that’s sort of also natural. So we saw a little bit of bias there. But we’ve seen pretty strong demand across the board.
Jeff Silber: Okay. And if I can get back to what you talked about on the teacher shortage, can you just remind us how easy or difficult it is for you to transfer teachers kind of across straight lines? And do you have a large number of international teachers that teach your U.S. students?
James Rhyu: Yes. So I’ll answer the second question first. We do not have an international sort of teacher pool that we draw from. I know there are other companies out there that do that. We have not headed down that path to-date. And so far, at least all of our teachers, really, we try to keep as domestically managed as possible. The teacher shortage is – definitely, it’s across the board. We did see some specific concentrations in some of our larger states like California or Texas. And so it – but it is a really pretty broad spread teacher shortage across the U.S. And I think if you do any of your digging into this independently, you’ll see that I mean this is a widespread. All the brick-and-mortar school districts are dealing with this. It was actually – there was a teacher shortage pre-pandemic. The pandemic exacerbated it, a lot of teachers are reluctant to go back. I think long-term, it’s actually just a great opportunity for us. We do not – I think to your first question, we do not, though, do much in the way of sort of cross-state pollination. As you know, in many states where you have to be certified, we have limited numbers of cross-certified teachers and things like that. So it is something we need to work through because we do have some teachers that are cross-certified. And of course, there we can use them, but we obviously – we are very strict on our compliance requirements and ensuring that we manage to the compliance requirements in each state.
Jeff Silber: Okay, great. I’ll jump back in the queue. Thanks so much.
Operator: Next question comes from the line of Jeff Goldstein of Morgan Stanley.
Jeff Goldstein: Hey, guys. Good evening. On the Career Learning enrollments, was growth there in line with your expectations coming through the year? I know initially, you didn’t expect a large COVID-driven impact there, but do you think that came into play with student retention all – at all? And then I guess, looking forward, is there any change to how you see the long-term enrollment trends in that business?
James Rhyu: Yes. I mean I think, Jeff, that the nice thing on an absolute basis is that retention on our career programs tend to be a little bit higher than our General Education program. So that obviously helps the trajectory of the enrollment business. And just the mathematical sort of law of large numbers when we have a smaller business, it actually helps retention as well. So those kinds of things do help. I think that though we were – I don’t think we were surprised by the trajectory of this business. I think we continue to see all the research that we do, suggesting that the demand for these kinds of programs is just growing. And so I don’t, in fact, think that we’re surprised. I think the trajectory can continue. In fact, I actually think longer term, it gets better because the one thing that I don’t think we do a great job yet of is tapping the vein of the career-specific interested families. I think we continue to sort of have the vein of the more General Education families that do have an interesting career programs, and they opt into that program. But I think we can do a lot more into tapping into career-specific families that are looking for programs like ours, and I think that we’ve got a lot of upside in doing a better job of that. So I think the trajectory can certainly continue.
Jeff Goldstein: Okay, perfect. And then you mentioned General Education revenue per enrollment being higher than last year. But I guess given the nearly 10% growth in the first quarter, is there something that will temper that growth rate for the remainder of the year or maybe – or did I misinterpret that, and a number like 10% is the right run rate going forward? Maybe just help me with the trajectory for the remainder of the year and what’s behind that? Thanks.
James Rhyu: I think generically speaking, we’re seeing this year, it’s not – there’s – it’s not a Q1 thing. It’s – we’re seeing this year – we will see higher per people revenue or per enrollment revenue funding throughout the year. Of course, there’s always a little bit of sort of give or take during the course of the year, but it’s not going to go 10% this quarter and then down to 2% next quarter. So it’ll stay in that range or we expect it at least to stay in that range through the year.
Jeff Goldstein: Okay. Thanks a lot. Appreciate it.
Operator: Next question comes from the line of Stephen Sheldon of William Blair.
Stephen Sheldon: Thanks. Hi, James and Tim, and congrats on the results here. First, I think it’d be great just to get some updated thoughts. And you mentioned a little bit in the prepared remarks, but just your ability to launch programs in new states over the next few years, especially with some of the favorable trends you’re seeing in accepting public vouchers. What opportunities do you think there could be in expanding the new states over the medium term?
James Rhyu: So I think in the short to medium term, there’s a lot of opportunity. And I’m going to say this sort of – I don’t mean to get too far, maybe out of my own swim lane here. But I just think given everything that’s going on over the past 2 years in this country, I’m disappointed in those politicians who are still resisting giving the kids in their states opportunities for virtual programs like ours. I just think it’s a disappointing – it’s just disappointing to me. And I think that the families out there that we hear from, it’s disappointing to them as well. I think from a new state opportunity perspective, I do think that there are a small handful of states that we can see we will get some traction in. We already know Georgia is going to come online next year. States like Kentucky, West Virginia, we see good traction in those states. New Hampshire, we see some early traction in that space. So I think that there’s – there is in the short to medium term some good conversations we see happening. And again, I just think that when you mentioned voucher programs, I think when you throw in things like the voucher programs, which will really help our private pay business more. But I think when you throw those kinds of things in, I think that there’s a lot of states who are – they’re just considering ways that they can offer more choice to their – to the families in that state. And just – again, just given what we’ve been there in the past 18 months, I can’t see how you can’t do that.
Stephen Sheldon: Got it. That’s helpful. On the guidance, and I think in the past couple of years, you’ve seen quarterly absolute revenue relative to the first quarter of the fiscal year, either remain steady over remaining quarters or increase some. It seems like – and acquisitions might be pointing some of that. But it seems like you’re assuming some slight moderation over the rest of the year right now. So I just wanted to ask how much of that is conservatism? Is there anything you’re assuming, especially in terms of in-year retention rates that may be different relative to what you’ve historically seen? Just any detail there?
Tim Medina: As with any year, we have always have some variability in our quarter-to-quarter revenue. And this year, we saw an increase in enrollment that was impacted by the COVID variants, as James talked to. And since this does introduce some more risk in our retention, we’re being a little bit conservative in our forward estimates.
Stephen Sheldon: Got it. That’s helpful. And then just lastly on the middle and high school Career Learning enrollments. I know you’re going to see many more students graduate from those programs over the coming years. But for those that have graduated, what can you share about what those student outcomes – what the students are frequently doing post graduation in terms of entering the workforce, continuing into other forms of higher education? And what do their outcomes look like even though I know it’s probably a somewhat small sample size at this point?
James Rhyu: Yes. I think your last comments the most relevant is just in terms of the number of actual absolute graduates that we’ve been able to track. The sample size is still pretty small. What – we advocate very strongly even in our career programs that we want one of three outcomes for each of our graduates. We want them either going to an employment path, going to further education or doing some enlistment in the military. And we think that they are all three very viable. And by the way, we advocate the exact same for our non-career high school students. It’s actually no different. And so what the early returns that we see from our career, right, are that they are in fact, motivated to go down one of those paths. I think we have pretty good success in getting them down into that path. I think we are going to continue to invest behind our sort of counselor program and making sure that we provide the right kind of counseling and advice to these kids, but too early to tell sort of definitively from a data perspective. And as you may know, for those of you who are on the call that have graduated high school and/or college, I suspect that many of you don’t know or don’t keep in track with where your classmates are today and your schools have had difficult to do that. So, the data is always a little bit tough to get at. And so, we are working hard to figure out a way that we can really have a good solid data around it, but the earlier returns certainly look good.
Stephen Sheldon: Great. Thank you.
Operator: Next question comes from the line of Alex Paris of Barrington Research.
Alex Paris: Hi guys. Thanks for taking my call. I would add my congratulations to the better-than-expected first quarter results and a strong start to the year. I just have a couple of questions. So, enrollment was better than expected, particularly in Stride Career Prep versus my model, obviously driven by demand, driven by Delta variant, clearly a tough comp. Just wondering, are there any new programs in the mix that account for that enrollment in managed schools on the general education side? I believe you have some new schools on the Stride Career Prep side this year.
James Rhyu: Yes. We actually – so, we didn’t really have a lot of new programs this year, meaning fiscal year ‘22 on the career side. We are talking to all our clients about starting programs, and I think we still have some new programs that over the next couple of years, we will be opening. But it’s a pretty good year-over-year comp for us, I think in the sense that a lot of that growth was in fact, not from new programs. And that’s a little bit of the double-edged sword. I mean I actually wish we had a couple of more new programs than we did, but I think most of, if not all of the programs that we have or states that we are in, they are interested in it. We just sort of worked through all the mechanics and the logistics of getting them up and running. So, I actually think that the comp is pretty good and the upside is pretty good in the sense that we have a fair number of programs where we can still enter into in the states.
Alex Paris: Got it. I appreciate that. You have talked about the teacher shortage several times on this call. It’s been in the news. I am wondering, can you quantify the impact on enrollment due to the teacher shortage? I am sure you left some families unable to enroll given the teacher shortage. What are your thoughts there? Any additional color would be helpful.
James Rhyu: Yes. I don’t want to quantify for exactly, but I will give you a little bit of sort of a little bit of stats here. For sure, we could have topped last year. Pretty sure, we would have topped 200 if we could. We were several, if not more, 100 teachers short. So, you sort of can do the math on ratios and stuff like that and back into a round number, but it’s not insignificant. And we are working very hard to try to make sure that we can get as many teachers filled as we can, but we also want to make sure that we do the right thing here. So, it’s a delicate balance, and we are working hard to fill the need. But we do have the shortage.
Alex Paris: And contributing to the teacher shortage is vaccination requirements. I am in Chicago, so it’s in the news every day. Your teachers are obviously remote teaching. But do you have any vaccination requirements for teachers in certain states or in general?
James Rhyu: So, by and large, we do not. And when I refer to, I think the sort of long-term benefit to us about what’s going on, I think there is a lot of that, the – whether it’s a vaccination requirement that some teachers are maybe reluctant to meet where they don’t have to meet it with us, whether it’s the fact that kid – that they are teaching kids in a classroom that aren’t yet able to be vaccinated, I think that long-term trend plays well for us. I think it’s the way that many school districts in the brick-and-mortar sort of realm have handled remote learning and their teachers during the past 18 months. I think that plays into it. And we see a lot of dissatisfaction. And we want to provide our teachers, teachers that we manage a safe work environment. I think we do that. We are providing them great professional development opportunities, I think to teach in a way that is modern and will reflect where the education industry is going to go ahead. So, I think there is just a lot of benefits that we provide for our teacher population. And I think that trend is going to work in our favor over the next several years.
Alex Paris: Makes sense. And then I guess my last question is on revenue per enrollment, kind of following up on a prior question. General education, it was up 9.7%, career learning, up 7.9%. I assume that has to do with state-to-state and mix and so on. But I was kind of going into this year assuming that you would have a 6% to 7% increase in revenue per enrollment this year, making up all that you lost last year due to COVID-related budget issues and that sort of thing. So, given that we are more in the 8% to 10% range, are revenue per enrollment coming in higher than you had previously expected?
James Rhyu: So, I think the delta might be in – I don’t want to get into too many specifics here. But in a previous call, I think we have talked about that we are not going to see – or we at that time, I think we didn’t see a significant amount of extra money coming, and we still don’t. But there is a little bit of that. There is a little bit of mix. There is a little bit of stronger enrollment funding trends. So, I think it’s sort of an accumulation of things. It’s not I don’t think one thing particular that we can point to. But the general tailwind, I think is there. And I think that state governments are trying to make sure that these schools get funded. I give a lot of states a lot of credit for really trying to do the right things here in this environment. So, really shout-out to a lot of the state governments who I think really done a great job.
Alex Paris: So, just in conclusion, is 8% plus sort of a better number to use than 6% or 7% for fiscal ‘22?
James Rhyu: Yes, for this year, for sure.
Alex Paris: Okay. Good. Very helpful. Again, congratulations on the quarter and setting up well for fiscal ‘22. Thank you.
Operator: [Operator Instructions] Next question comes from the line of Tom Singlehurst of Citi.
Tom Singlehurst: Yes. Good evening. It’s Tom here from Citi. Thanks for taking the questions and congratulations on the results. First question is on share. I mean obviously, you are sort of dealing with the sort of hiatus from last year, but do you think you actually took share of the sort of the virtual school market, if that’s the right way of putting it? I am just sort of comparing and contrasting what you guys have said relative to Pearson who look like they weren’t necessarily as robust enrollment performance. That would be my sort of reading of what they have said. That was the first question. And then secondly, they had talked about revenue per enrollment coming down, albeit I think they did indicate that, that might be down to mix of state. I was just wondering, what the sort of the growth profile across different states is doing to your revenue per enrollment, i.e., would the revenue per enrollment be – have been even better on a different sort of pattern of demand across different states? Those are the two questions I was going to start with, and I have got maybe one follow-up. Thank you.
James Rhyu: Yes. I mean I think the market share question is one that – it’s a little bit hard because so many programs, whether the brick-and-mortar programs or whatever have sort of spawned over the past year or so. But I think when you are talking about sort of like-for-like, full-time virtual programs like the ones that we offer, it does look like, if anything, we are either holding or gaining a little bit in share. So, I don’t know that – I don’t know how dramatic it is. And again, it’s a little bit confusing because of the number of brick-and-mortar programs that have been still running. And so – and there is a lot of sort of in and out in that. So, I think that, that market share questions were certainly – we can’t see anything that we are losing share against sort of like-for-like competitors. On the funding side, I think that the funding for us, at least, we did have, I think a mix this year that was, I want to say pretty comparable to last year with one slight benefit, and if you may remember, California last year was sort of artificially depressed. They had pretty decent funding. We were able to enroll a little bit more in California this year, although California is also a state where we had to cut it off because of teacher shortage. So, California State has tremendous demand, and it’s a great state. A lot of families really want this choice, and – but we couldn’t serve all of it. And so, I think that from a mix perspective, we sort of tread water this year, by and large. And I can’t speak to what other competitors’ mix was. But I think for us, at least we pretty much tread water.
Tom Singlehurst: Very clear. And then the follow-on, I mean obviously, now you have got through the back-to-school period. You know what the enrollment looks like. I mean what have you learned sort of incrementally about the sort of, if I can call it the COVID cohort, i.e., are they fundamentally different in terms of the withdrawal rates, the engagement with the platform, or any other sort of insights that perhaps you can offer, just with a little bit more information now we are a quarter into the new year?
James Rhyu: Yes. So, interestingly enough, we went into last year actually thinking that the COVID cohorts were going to behave a lot differently than sort of the rest of the population that we normally attract. And what we found out through last year at least was is that they did not, in fact behave dramatically different than sort of our “normal” cohort. We actually expected them to, and they didn’t. And early returns are this year that sort of similarly is that they are just not that much different. I think our programs are engaging. I think families are engaged. I think families are particularly engaged now with COVID. They have gotten sort of paid more attention to online learning. And I think they understand a little bit better the difference between good online learning and bad online learning. I think that helped our retention rate last year a lot. And I think that bodes well for the long-term in that – whether you are a COVID family or a non-COVID family, I think we are separating ourselves a little bit from a lot of other online programs, whether they are brick-and-mortar or other online school programs that families come to us. They see we are the market leader. They understand that our programs are digital-first. They understand that we have well-trained teachers. Our teachers really care about their online learning. Our teachers want to be in an online digital environment. And I think it sort of shows up in the way that they show us in their satisfaction surveys. Their on-boarding has been very active. And I think we just have a sort of a program that outshines a lot of the other programs out there.
Tom Singlehurst: Got it. Very clear. Thank you very much.
Operator: And there are no further questions at this time. This concludes today’s conference call. Thank you for participating. You may now disconnect.